Operator: Good day. And welcome to the LumiraDx Second Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. As a reminder, this call may be recorded. I would now like to turn the call over to Colleen McMillen, VP, Communications. You may begin.
Colleen McMillen: Hello, everyone. We would like to welcome you to today’s call to discuss LumiraDx’s second quarter 2022 financial results issued earlier today. With us are LumiraDx’s Chairman and CEO, Ron Zwanziger; Chief Financial Officer, Dorian Leblanc; and Chief Product Officer, Pooja Pathak. The press release announcing our financial results is posted on the Investor Relations section of the company’s website at lumiradx.com. Before we begin, I would like to caution listeners that any statements we make today, other than historical facts are forward-looking statements made pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. Please be aware that all such forward-looking statements involve risks and uncertainties, such as those detailed in our annual report on Form 20-F for the year ended December 31, 2021, which was filed with the SEC on April 13, 2022, and other filings that we make with the SEC. Any forward-looking statements that we make must be considered in light of these factors. Actual results may vary materially. Also during the course of today’s call, we may refer to certain non-IFRS financial measures. Non-IFRS financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with IFRS. There is a reconciliation schedule showing the IFRS versus non-IFRS results currently available in our press release issued earlier today, which can be found on our website. I will now turn the call over to Ron Zwanziger for opening remarks. We will then provide financial and business updates before answering questions. Ron?
Ron Zwanziger: Thanks, Colleen. We continue to deliver on our mission and promise to transform community-based care. Looking ahead, as part of the transformation, the company has four key priorities for the next 12 months to 18 months and I’d like to provide updates on each of these areas. Our first priority is to commercialize our newly authorized CE product portfolio in Europe and other international markets. The second, we are progressing our U.S. revenue pipeline on 510(k) plan. Third, we are accelerating development of our highly sensitivity Troponin and molecular assays onto the platform. And fourth, we are shaping our organization and cost base to support strong innovation and commercial success. We have made tremendous progress on our first priority to deliver on our pipeline plan and commercialize new products in Europe. On the point-of-care platform, we achieve five new CE Marks, including hemoglobin A1c, NT-ProBNP for congestive heart rate -- heart failure, COVID Ultra, 5-minute version of our COVID Antigen tests, the Ultra Pool tests, as well as the RSV combo with COVID. Each of these test deliver lab comparable performance in minutes on the LumiraDx Platform. We also expanded the use of CRP to pediatric populations and added an exclusion claim to our D-Dimer test. Our focus now is to commercialize these products in Europe and also to register in key international markets. HbA1c, COVID Ultra Pool test, as well as the COVID RSP combo tests are planned to launch commercially in Q3, NT-ProBNP will launch by the end of the year. We have a compelling value proposition and are seeing early demand for these new products, which have been designed to enable our customers to consolidate three different instruments, they are currently using into a single LumiraDx Platform and workflow right now and with the opportunity to consolidate up to six instruments in the next 18 months to 24 months. In the Fast Lab Solutions, we achieved CE Mark two RNA stock complete assays, the flu and COVID combination assay, as well as the Dual-Target COVID assay provide results in 20 minutes using open channel RT-PCR lab systems. We are seeing the demand for these assays, which combined speed throughput and performance to molecular. Shifting to the United States, our second priority is to progress our U.S. revenue and pipeline. We continue to solidify the unique performance and positioning of our high sensitivity antigen test on the platform. In the last years, several of our large customers have expanded the use of our platform. Two new locations originally designated for piece -- point-of-care molecular testing or Central Lab molecular testing with a number of others now making a similar change. This is based on our data is showing molecular like performance with substantial cost savings and reflects the power inherent in the performance of our platform. We plan to submit EUA for the COVID Antigen Ultra test on the platform shortly and are actively working on 510(k) submission. COVID Ultra followed by Flu A/B Ultra, RSV Ultra and Strep A molecular are plan to go through clinical studies during the upcoming respiratory season. This respiratory portfolio combines molecular like performance with speed at point-of-care. With hemoglobin A1c product being commercialized in Europe, we plan to initiate U.S. clinical studies later this year and also for INR. This core product offering will enable us to consolidate much of the current point-of-care primary care offerings in the U.S. onto a single platform. Our third priority is to accelerate the development of our component and molecular assays on the platform. During our recent Analyst Day, we were able to share the results from a method comparison study demonstrating that our high sensitivity Troponin assay test correlates very well with the market-leading high sensitivity Central Lab assay. We currently are reviewing our global clinical study plan with key opinion leaders, after which we will be in a position to initiate prospective studies. Our molecular pipeline continues to progress well with two leading programs plan to complete development this year. Both Strep A and TB programs leverage our qSTAR technology, validating the performance and speed that can be achieved with a proprietary chemistry. Our Strep A and TB product design has been finalized and our plan is to start clinical studies late this year or early next year. We recently received an additional investment from the Bill & Melinda Gates Foundation, which included funding from a commercialization of a number of tests including TB. We have four to five additional projects in various stages of research and development. All this leads to our fourth priority, building the company’s overall financial position. We have an exciting set of product launches in the near-term that will start to generate revenue later this year and expect rapid acceleration next year. At the same time, as COVID moves from pandemic to be endemic stage, we have a lower, but also more stable revenue place to plan with. To allows for efficient runways to achieve pivotal milestones, we completed $100 million and plus million in financing last month and initiated a restructuring program focused on three main areas, the reduction of manufacturing as a direct consequence of lower COVID demand, deprioritizing a few R&D programs and a few early stage assets, and finally, reorganization of our R&D delivery organization. We are confident these actions will bridge us towards key revenue milestones, while delivering on our mission to improve health outcomes at lower costs through fast accurate and comprehensive diagnostic information at the point of need. I will now hand things over to Dorian to go deeper into our financial performance. Dorian?
Dorian LeBlanc: Thanks, Ron, and good morning, everyone. I am pleased to summarize LumiraDx’s Q2 2022 financial results. Starting with a summary of our P&L for Q2 2022, total product revenues for the quarter were $45 million. Revenues included $28 million of test strip sales on our point-of-care platform and $10 million from our Fast Labs molecular reagents, both of which were substantially all from COVID-19 products. Our gross margin for the quarter was 11%, compared to 17% a year ago, primarily due to under-absorbed manufacturing capacity costs, as we transitioned from a higher cost base and resize our operations to deliver in a more stable post-pandemic market environment. In addition, we incurred inventory reserves of $8 million in the quarter related to the decline in COVID demand. Our non-IFRS R&D expenses increased 33% in the second quarter compared to the same period in 2021, primarily due to activities to accelerate the European CE Mark in the several new products within the quarter and the final development work on our Amira platform. As we progress through 2022, we have taken measures to reduce our R&D spend, while focusing on the key priorities Ron discussed at the start of the call. Our non-IFRS SG&A expenses increased 37% in the second quarter compared to the same period in 2021, primarily due to investments in our commercial infrastructure, support the rapidly expanding customer base during the COVID scale-up and costs incurred as a publicly-traded company. Non-IFRS SG&A expenses declined approximately $3 million from Q1 2022 and we anticipate further reductions as part of our restructuring program. The non-IFRS operating loss for Q2 2022 was $71 million, representing a $29 million higher loss compared to Q2 2021, which is primarily a result of generating lower COVID-related revenue, while still maintaining the infrastructure required for the period of peak COVID demand. We raised $41.5 million in a private placement offering of interest in a royalty agreement with select investors in the quarter as described in our 6-K filings related to that transaction. Recently, we completed an underwritten public offering and a concurrent private placement with the Bill & Melinda Gates Foundation that raised aggregate net proceeds after underwriting costs of approximately $100 million. We initially issued 43 million shares in the secondary offering and 14.3 million shares in the private placement. Subsequently the underwriters partially exercised the overallotment option granted to them in the underwriting agreement and purchased an additional 3.8 million common shares. So at the end of the quarter, we had cash and cash equivalents of $106 million, compared to $132 million at the end of 2021. The pro forma cash balance after the recent public offering and private placement would have been approximately $206 million. Over the previous six quarters, we have invested more than $120 million in capital equipment and facilities. These investments have created sufficient manufacturing capacity, with a minimal additional investment required to install and validate new equipment to allow us to meet our internal revenue projections beyond 2025. In addition, we exit Q2 2022 with a strong inventory position. We anticipate cash utilization to decelerate in the second half of 2022, as our capital investments have been completed and our inventory purchases are substantially reduced. As Ron mentioned in his opening remarks, one of our key priorities is ensuring our cash position remains strong after our recent financing activities. In response to lower COVID testing activity and to ensure efficient use of our cash, we initiated a global restructuring plan to resize the organization to the current requirements to meet market needs and to reduce our overall cost basis. We are targeting our cost reductions to avoid impacting our pipeline delivery over the next 18 months. First, will reduce our overall manufacturing-related operational activities to reflect both the decreases in COVID-related demand and the operational efficiencies we have realized over the last 24 months since the initial launch of our COVID testing products. In addition, with the CE Mark achieved in our Amira platform, we anticipate reduced R&D spending in the near-term for that program and we are evaluating our commercial opportunities for Amira before committing additional capital to a full launch. We will deprioritize certain early-stage R&D activities without impacting the 2022, 2023 pipeline assays. We are also reorganizing our R&D teams and several of our other teams and support functions to drive efficiency on our focus areas. We have immediately identified reductions of $16 million in direct operating cost per quarter including a significant headcount reduction of more than 300 roles or approximately 20% of our total full-time headcount. As a significant portion of our operations are located in the United Kingdom, we are currently going through the collective consultation process with employees. Therefore, we expect only a minimum reduction operating costs from the restructuring activities in Q3, but we anticipate realizing substantially the full benefit in Q4 2022. Given these cost reductions coupled with the reduced capital expenditures and inventory purchases, we believe our current cash balance is sufficient for approximately one year with very conservative revenue contributions from both COVID and new product launches. We will be vigilant in assessing our cash position and business performance to further adjust cash spending as required. With the R&D pipeline delivering a comprehensive set of new products, with our global commercial footprint, with our installed base of instruments with world-class customers, with our manufacturing investments capable of rapidly scaling production of our low cost high performance microfluidic test strip we are well-positioned for rapid growth. We will continue to focus on growth and we will look at additional capital sources, including non-dilutive financial arrangements, licensing of our technologies and other strategic partnerships to fund our growth appropriately. We do anticipate further activities in these areas over the coming quarters. The customer experience with the LumiraDx Platform and our Fast Lab Solutions continues to demonstrate the value of rapid high quality, low cost diagnostic results. The expanding menu in Europe and the progress on key content, such as high sensitivity Troponin and our point-of-care molecular tests provide exciting near-term catalysts, as we focus on rapid growth to a $1 billion revenue enterprise. Given the pace of business activities in our current outlook on our R&D and regulatory timelines, we do anticipate a -- anticipate reaching a run rate of $1 billion in annualized revenue now in 2025 versus our prior $1 billion revenue guidance for the fiscal year 2024. In addition, we are focused on exiting 2023 with breakeven operating cash flows, while continuing our significant investments in long-term growth. I will now hand over to Pooja to provide some product updates as the commercial activities continue to accelerate with our new products. Pooja?
Pooja Pathak: Thanks, Dorian. I would like to provide some further updates in our first priority area that Ron highlighted, which is to commercialize our CE portfolio in particular HbA1c and NT-ProBNP, as well as the global update on respiratory, including COVID Ultra and Flu RSV combo products. First, to start with HbA1c, we see substantial opportunity for this product, estimating a global total addressable market for point-of-care HbA1c with lab comparable performance and cost to be approximately $1.3 billion, including an estimated 60% outside the U.S. As previously announced, we achieved CE Mark for our HbA1c test both for monitoring diabetes and for screening patients potentially at risk for diabetes in May of this year. The test provides results in less than 7 minutes from a fingerstick sample. In a method comparison study, it demonstrated 97% correlation with a lab reference method. The HbA1c test market is highly standardized with all assays meeting to be traceable through the global primary reference method. The ISCT established a global reference method in annually certifying traceability for all manufacturers. We are very pleased that in our first year participation, the LumiraDx HbA1c test achieved ISCT certification with less than 3% CDs in ISCT units and less than 2% CDs in NGSP units, lab comparable quality performance. We have started to work with global key opinion leaders on early evaluations and planning our European commercial launch in September. We have also begun regulatory process in Japan, India, Brazil and South Africa, which are large existing point-of-care markets for HbA1c, but also have diabetes burden that support expanded testing. I do want to underscore that the ability for customers to consolidate three instruments down to single instrument is an adoption driver. Second, we achieve CE Mark for our NT-ProBNP test in May of this year. The test is indicated to be an NT diagnosis of heart failure from a fingerstick sample with results in 12 minutes. For both D-Dimer and NT-ProBNP, due to the severity of symptoms and potential outcome, patients were very often present in the emergency department and these tests are typically ordered in the ED and run in the lab. With lab comparable results in minutes from a fingerstick sample, we see opportunity to do a lot more testing in the ED. We also believe there is an opportunity to shift the monitoring of these conditions to point-of-care testing in primary care in cardiology. Multiple studies have shown that point-of-care testing has the potential to reduce downstream utilization and cost of healthcare, as well as improve outcomes. We are actively working with European KOLs that are passionate about this approach to implement point-of-care testing in community care setting. Finally on the respiratory side, our COVID Antigen test continues to be recognized by customers for its performance, speed, and usability. We had excellent engagement with customers and KOLs at [Technical Difficulty] this year, including a customer presentation that outlined results from the 24-month study, evaluating COVID detection rates across lab PCR, the LumiraDx microfluidic antigen test and lateral flow test. The LumiraDx COVID test demonstrated comparable performance to lab PCR, while the lateral flow test substantially lower detection rate. As announced, we CE Marked the COVID Ultra test in Q2, which provides high sensitivity results in 5 minutes. We plan to start shipping product in the next few weeks and are also submitting an EUA to FDA shortly. We also CE Marked Flu and RSV combination product with COVID in Q2. Customers in Europe and Japan are conducting evaluation for the Flu and COVID combo, and we are preparing for demand in the upcoming flu season. The RSV and COVID combo will start shipping next month. With that, we would be happy to take your questions. Operator?
Operator: [Operator Instructions] Our first question comes from Vijay Kumar with Evercore ISI. Your line is open.
Vijay Kumar: Hey, guys. Thanks for taking my question. One, maybe on the restructuring here, Dorian, with the headcount reduction, can you quantify what the OpEx spend rate should be, it looks like Q4 should be a more normalized level and what the cash burn rate implications are?
Dorian LeBlanc: Yeah. So, there is two components to the cash burn rates, Vijay, as I mentioned. One, the reduction we anticipate $16 million of operating costs and that will come from the fixed cost within the cost of sales will come from R&D, it will come from SG&A, so it will come from all three of those lines in the P&L. So that’s about $16 million of cost per quarter, and as I said, we expect to realize that within Q4. And probably, if you are looking at the last six months to 18 months, the larger impact will be from the lack of capital expenditures. Now that the manufacturing build is complete. And also, as we work down the working capital, we are exiting the quarter with $169 million in inventory, most of that is in instrument components and other things that will have the ability to place over a period of time. I won’t have the cash outflows associated with replenishing that at the same rate. So we anticipate the working capital and the CapEx to be even larger drivers of reduced cash outflows.
Vijay Kumar: And did I hear you correctly, Dorian, on you expect 2023 to be cash flow neutral?
Dorian LeBlanc: We expect to exit 2023 at operating cash breakeven.
Vijay Kumar: Understood. And Ron, maybe a couple of questions for you, one, I think, in your prepared remarks you mentioned, you expect non-COVID assays to ramp up in the back half or exiting 2022 and a more meaningful ramp into 2023. Could you just remind us what those assays are, with the restructuring did any timelines get shifted here, I don’t think so, but just want to check the box?
Ron Zwanziger: No. They haven’t. We have been -- and regards to the platform, they haven’t. We have been very careful that as part of this restructuring to make sure that the key test which enables us to consolidate from a customer’s perspective initially what they might -- what they may be using on three instruments down to one is not affected and also we haven’t affected the major test that due to launch in the next 18 months. So, as far as the platform is concerned, there has been no, we have been very careful not to do that.
Vijay Kumar: And sorry, just on the revenue ramp expectations for non-COVID assays, can you just give us a little bit of flavor on what your customer feedback has been, maybe Pooja can chime in as well? What kind of assays do you expect to see revenues will ramp up significantly in 2023?
Ron Zwanziger: Well, we haven’t quantified it, Vijay. But customer feedback from every part of the world is about one thing additional tests on the platform. And it’s the test that, of course, we have in development, because the test we have in development were pretty essentially pre-agreed with the major customers around the world in the first place as to what they would want. But now that we have several of them out there, and in particular, some of the new ones coming such as A1c and NT-Pro, in addition to the sort of the CRPs and D-Dimers that we already have there, plus, of course, the respiratory one, flu A, flu B, we are getting requests pretty much everywhere. We are expecting a significant response to the A1c customers pretty much everywhere are asking for it and this notion of the -- of a single platform, it clearly will help carry some of the other tests that we already have. So, we should be -- we should see some a fairly serious acceleration of revenues as we work our way through 2023. So, to repeat the question that you asked, Dorian, we expect to get to breakeven by the end of 2023, not during 2023, at the end of 2023.
Vijay Kumar: Understood. And maybe a bigger picture question for you, Ron. That Dorian sort of reaffirm the LRP of $1 billion revenues in 2025, can you just remind us on, what the $1 billion kind of place in terms of endemic COVID respiratory revenues versus non-respiratory revenues? And what gives you the confidence, that’s a pretty steep ramp when you look at diagnostic end markets getting to…
Ron Zwanziger: Yeah.
Vijay Kumar: … $1 billion, that’s a big number, so the talk is about, what gives you the confidence?
Dorian LeBlanc: Yeah. Vijay, just to clarify, we spoke to getting to that run rate within 2025 of the $1 billion. So, kind of exiting 2025 with that run rate.
Ron Zwanziger: Exactly.
Dorian LeBlanc: I think we still see a similar view on endemic COVID as part of the overall respiratory offering, and we previously said that, we expected that to be between 15% and 20% of that size of revenue and that size of our business going forward. I think our views have really changed on COVID, flu and other respiratory testing’s making up about your aspect of the double revenue on a go-forward basis.
Ron Zwanziger: In fact, Vijay, that number that we gave of that estimate is a year old when obviously knowledge of the pandemic/endemic was much less understood. But now, the way it’s unfolded, we have a lot more evidence of sort of the endemic phase, we are seeing sort of a lot of transition and it may not be entirely apparent from our numbers. But our revenues on a monthly basis since March, including up to the present thus far into August have been remarkably steady and that sort of reflecting the endemic stage of the pandemic. Now I am not trying to predict the future here, but the real point I am making since you asked about the breakdown, I think, that the -- that estimate, which I think is quite modest to be down for respiratory to be 15% to 20% of our platform revenues, which we talked about over a year ago. I think now we probably have more confidence in that 15% to -- that estimate, because it’s still an estimate now, but I think we have more confidence around it now.
Vijay Kumar: Understood. And if I may squeeze one more in, apologies for…
Ron Zwanziger: Sure.
Vijay Kumar: …numerous questions here.
Ron Zwanziger: Sure.
Vijay Kumar: On the Strip and TB studies, I think, I heard you mentioned late 2022 start, early 2023 start. Did I hear you correctly that the assays have been locked and how long are these clinical trials especially on the TB side, how long are these studies in general and how do you see the revenue opportunity, I couldn’t help observe, but the private placement by the Gates Foundation in there, pretty big supporters of these kinds of tests? So maybe talk about the opportunities on the TB side?
Ron Zwanziger: Well, I mean, people sort of underestimated. I think the potential is quite large. And you are right, the foundation which is -- which have supported us in different ways over the years, including a significant uptick in our recent financing, are very keen to help us and we will -- I am sure the fund various ways to help us get the product out -- product established.
Vijay Kumar: And sorry, is that, when you think about the adoption for tuberculosis, is that a tender process and is the Gates Foundation going to support you guys or any thoughts on the commercialization of the TB assay?
Ron Zwanziger: Well, I won’t go into what might happen. I mean is self-evident. If you look at the number of different arrangements we have had with the foundations over the years. So, I won’t speculate on what might happen in the future. I think what you should focus on, Vijay, as to the outlook is, the relative performance of what we do in general. But relative to the competition and also relative to the actual market needs, the ability to have a community based high performance TB test, obviously, has immense value and because of our cost structure, it also happens to be beneficial for us as well.
Vijay Kumar: Understood. Thank you, guys.
Operator: Our next question comes from Jeffrey Cohen with Ladenburg. Your line is open.
Jeffrey Cohen: Hi, Ron, Dorian, and Pooja. Thanks for taking our questions. A couple from our end. Ron, you had mentioned some exclusion criteria in the D-Dimer test, could you clarify there?
Ron Zwanziger: Pooja, do you want to take that?
Pooja Pathak: Hi. Just to clarify, the -- I think the comment that we made was that the D-Dimer test recently can now be used to exclude VTEs in combination with a pretest probability score. So it’s just an additional use case for the product that not only can be used to aid in the diagnosis of the VTE, but it also can be used to with confidence rule out. And the clinical value of that is that there is a lot of downstream cost of patients going to the emergency room and utilizing -- requiring Ultra Sound. So it’s just an additional use case. Is that the question you are asking?
Jeffrey Cohen: Yeah. That’s perfect. Thank you for clarifying that. And could you -- congratulations on HbA1c and BNP and CE Marks, could you walk us through how that may roll out in the back half of the year as far as commercialization efforts and some territories perhaps on CE?
Ron Zwanziger: Well, the -- in non-Europe, we have got a number, as we mentioned, a number of regulatory applications that we are focusing on a combination of high burden countries in diabetes, as well as sort of regulatory, which can be achieved relatively quickly. But in the back half of this year, in terms of, we are focused -- our actual focus given that we have the regulatory, we have met the regulatory needs in Europe. We are very much initially focused on A1c, and secondly, on NT-Pro. And we are gearing up for both of those through key opinion leaders, the usual approach and the excitement level in the commercial organization is sky high, because they are getting such great feedback from customers.
Jeffrey Cohen: Got it. That’s very helpful. And then one more from our end, I guess, for Ron, if you could talk a little bit about the U.S. market as it currently stands and a number of placements and locations? And then talk about how INR and hemoglobin studies will play out, any anticipated duration and rollout in those tests?
Ron Zwanziger: Well, we don’t expect those tests to be until into -- well into next year. But the installed base we have, you may recall that when we first started, because of our relationship with CVS, we got off to a fairly fast start simply, because they have a large number of locations. But since then the installed base in the U.S. is now to the point where it’s pretty much parity between the locations in health systems and community care. So we have quite a spread of now -- of our installed base across the U.S., both obviously, in the retail setting, but also in healthcare systems.
Jeffrey Cohen: Got it. Okay. Perfect. Thanks for taking our questions.
Ron Zwanziger: Sure.
Operator: [Operator Instructions] Our next question comes from Mark Massaro with BTIG. Your line is open.
Mark Massaro: Hey, guys. Thank you for the questions. I didn’t hear or at least I don’t think I heard an update on the installed base of Lumira Platforms. I think you excited, are you finished Q, excuse me, Q1 at around 25,000, how many did you place in Q2? And just by looking at the numbers, did instruments revenue come in somewhere in the $6 million to $7 million range for the quarter?
Ron Zwanziger: The install currently is roughly -- the install currently is roughly the same. Dorian, do you want to take the question?
Dorian LeBlanc: Sure. Yeah. The installed base is relatively the same Mark. For the calculation, you are trying to do to get to the revenue is not from test strips and from Fat Labs, please remember that, we have the distribution revenue from the acquired distribution businesses we have and that makes up the bulk of the remaining $6.5 million of revenue outside of Fast Lab and the test strips. So, there was minimal instrument revenue in the quarter.
Mark Massaro: Okay. How should we think about the pacing of instrument placements going forward? So, obviously, with the COVID situation going from pandemic to endemic, should we think of that more flattish? And then, at what point do you see another inflection, is that the, perhaps, is that the HbA1c or maybe walk us through which assay or assays may start moving the needle again on instruments?
Ron Zwanziger: It’s clearly the case that A1c is going to drive short-term placements and so we should start seeing from the sort of the customer feedback that we are getting fairly significant placements for A1c and really accelerating into Q1 and beyond and NT-Pro will also take over. And I don’t want to confuse matters by digressing a bit too, so that’s where the growth will be coming from these and replacements will be non-COVID. But having said that, we have had a number of inquiries from COVID customers, who actually are looking to change their behavior away from other testing that they do and so they actually may get COVID placements to replace others, because of the nature of our platform, because it offers the multiple tests on the same platform and the COVID Ultra, the 5-minute test is proving to be extremely attractive in people’s work, in customer’s workflows. So, actually, we may even based on sort of quite a lot of recent feedback, we may end up with strange it may sound more placements on COVID as well.
Mark Massaro: Okay. I want to clarify the comments on the headcount reduction. So, I think, I heard 20% overall. And at the Analyst Day in New York, I believe you provided updates, I think you have roughly 200 or so salespeople in sales in 27 countries or I should say sales reps in 27 countries, sales in 100 countries. Do you expect any impact on the sales in our marketing organization or are you largely limiting this to manufacturing and R&D?
Ron Zwanziger: It’s the latter, we have also given that we are doing an overall review, there is some change, but the majority is on the R&D -- the manufacturing and R&D.
Mark Massaro: Okay. And then maybe Ron or Pooja, can you clarify the comments on the Amira platform? I think I heard a reduction in R&D expense, and perhaps, putting that on pause. Maybe walk me through what you mean by that, are you evaluating whether or not Amira will be a key part of Lumira’s future or is this just largely a near-term pause for cash preservation purposes?
Ron Zwanziger: Okay. It’s the later and we have also had inquiries from others about how -- about ways of using it. So we are just sorting out a new business plan case work.
Mark Massaro: Okay. Thanks. That’s it for me.
Operator: [Operator Instructions] There are no further questions. I’d like to turn the call over to Ron Zwanziger for any closing remarks.
Ron Zwanziger: I’d like to close with a customer update, which actually somewhat relates to the last question we just had. One of our European customers, a major European customer, who currently used for COVID testing PCR lateral flow and our microfluidic platform, just told us that they will be starting all COVID testing with PCR and lateral flow completely and they using our -- and then moving to using our platform exclusively. They plan to order the COVID Ultra 5-minute test once available. They are starting to use the hemoglobin A1c testing, and in addition to all of this, they are expanding their PSC testing program into new geographies. This is just one of the many examples we have of customers they are delighted with our product performance and choosing to expand and convert testing to our platform. This is the transformation of community-based care today happening right now. Thanks again for your questions and for joining our call today.
Operator: … disconnect. Everyone have a great day.